Operator: Good afternoon. Thank you for joining us for the CardioNet Third Quarter 2008 Earnings Conference Call. Certain statements during the conference call and question-and-answer period to follow may relate to future events and expectations and, as such, constitute forward-looking statements within the meaning of the Private Securities and Litigation Act of 1995. Such statements involve known and unknown risks, uncertainties, and other factors, which may cause the actual results, performance or achievement of the company in the future to be materially different from the statements that the company’s executive may make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic report on Form 10-K or 10-Q. We assume no duty to update these statements. At this time, all participants have been placed on a listen-only mode and the floor will be open for questions and comments following the presentation. It is now my pleasure to turn the floor over to your host, Mr. Randy Thurman. Sir, you may begin.
Randy Thurman: Thank you very much. This is Randy Thurman, Executive Chairman of CardioNet. Thank you all for attending our third quarter 2008 conference call. With me this afternoon is Arie Cohen, President and Chief Executive Officer of CardioNet; and Marty Galvan, Senior Vice President and Chief Financial Officer of CardioNet. I have been with CardioNet now for approximately three months as Executive Chairman. Amongst the many opportunities that I considered prior to joining CardioNet, I made the decision to join because of the tremendous future that I perceive that our company has. And for three months of coming to understand the business model more and getting to know the management team, I am even more enthusiastic about the prospects for your company and the future than I was when I joined. We have accomplished a number of things in the last several months. In addition to the very successful secondary offer, we have begun to restructure at the corporate governance level and have added two extraordinarily accomplished executives to our board of directors. Ron Ahrens has joined. He is currently Vice Chairman and Director of Temptime Corporation and previously was President of Merck Consumer Healthcare Group Worldwide. Also joining CardioNet is Kirk Gorman, Senior Vice President and Chief Financial Officer of Jefferson Health Systems and previously was Senior Vice President and Chief Financial Officer of Universal Health System, one of the five largest investor-owned hospital companies in the United States. Also in the period of time that I’ve been with the company, we’ve undertaken a longer-term strategic view of the company and have set forth various operational priorities in order for us to achieve our strategic goals. Internally, we call these operational priorities BEAT Excellence, focusing on functional and operational excellence in everything that w do as a company. Arie will speak to more specifics about the BEAT Excellence Program during his presentation. At the end of our presentation, we will entertain all of your questions. At this time, I will turn the conference call over to Arie Cohen, President and Chief Executive Officer of CardioNet, Inc.
Arie Cohen: Thank you, Randy. Good afternoon and welcome, everyone, to our conference call. Before we begin the quarterly review, I would like to take a few minutes to recognize our employees for their strong commitment and hard work during the fire that impacted our corporate headquarters in August. Our employees successfully executed our Disaster Recovery Plan and activated our backup monitoring central facility with virtually no disruption to patient service. I would like to thank our dedicated employees for their diligence and tireless effort during this crisis. Now, on to the quarter review, I am very pleased to report another quarter of strong operating and financial performance. Revenues for the third quarter increased to $31.2 million, a 52% growth year-over-year. Gross margins increased to 67.9% and adjusted operating income increased to $4.3 million, compared to $1.5 million in the same period last year and diluted earnings per share of $0.11. Marty Galvan, our CFO, will provide you with a more detailed financial report in a few moments. Our success demonstrates the continued penetration of the CardioNet System in the $2 billion cardiac arrhythmia monitoring market as physicians and payers continue to recognize the superiority of our technology over events and Holter monitors. We once again achieved financial performance ahead of analysts’ expectations. During the third quarter, we achieved a number of important milestones in driving physicians’ and payers’ awareness of our system. On October 10, the American Medical Association has published Category I National CPT Codes with the CardioNet System. These unique codes represent a major milestone for CardioNet that solidifies our foundation for future growth. The code gives the CardioNet System unquestionable technology validation. The AMA has been the clinical efficacy of our system is well established and documented in US peer-reviewed literature, and that the CardioNet System is being broadly performed by numerous respected physician. This directly removes a major obstacle for commercial payers that still do not reimburse for the CardioNet System, categorizing it as experimental technology. The specific CPT codes also create a more simplified and stable reimbursement environment that will allow for automated payment processing, simplifying the process for physicians and payers. Reimbursement today is obtained through non-specific billing code that in most cases requires manual processing as well as additional review by payer. In short, it will become easier to do business with CardioNet. We believe the establishment of the National CPT codes will significantly accelerate adaptation of the CardioNet System by physicians and payers, resulting in greater market share and accelerated growth in 2009 and beyond. Moving to the new commercial contracts, we were extremely pleased that our system achieved “covered benefit” status with Humana in September. This was the second major commercial payer contract we announced in 2008, bringing in the total number of covered lives to 190 million. The CardioNet System is now covered by 75% of the total lives under coverage by commercial payers and Medicare. We continue to have a very active and productive discussion with the remaining commercial payers about the major clinical benefit the patient can obtain with our system and the substantial savings they can realize by avoiding hospital admission charges. Extended commercial reimbursement will bring additional upside to our growth trajectory, although it is important to know that the benefits for new contracts will be realized gradually in our financial result as new payers integrate the CardioNet System across their many plans [ph]. Let me just add one other thing, that I just received information that the Center of Medicare and Medicaid CMS has just published an established reimbursement rates that cover the CardioNet System. The reimbursement rates are applicable to the Category I CPT Codes established by AMA on October 10. The 2009 national payment rate for CardioNet System has been carrier price, meaning similar to current reimbursement of $11.23 established by our carrier, Highmark Medicare Services. This is a very positive news for CardioNet and is consistent with our expectation all in all. We are pleased with the outcome and we believe it will have a positive impact on our business in 2009 and beyond. We plan to issue a press release tomorrow with additional details. Our sales and marketing initiatives continue to produce results as we expand both our geographical presence in our overall team. We have recently formed new territories and our total sales force now stands at 89 representatives. Threading [ph] the message of CardioNet’s three times diagnostic yield has been a major initiative for our sales force and has brought success in increasing market share. We have also initiated a new marketing program to support our sales force efforts that we believe will further strengthen the CardioNet branch within the physician community. We recently established a peer-to-peer key opinion leaders program that leverages some of the most respected CardioNet users in different geographic area to extend awareness in the clinical community. We have already conducted 22 programs across the county, focusing on the clinical use by this key opinion leading cardiologists in their practice. The early stages of this program have produced great results in building our grand disposition and we expect to continue to broaden our reach into 2009. We believe our sales force has the tremendous opportunity to further leverage our superior technology, our unique and robust body of clinical data, established mention of CPT code, and new product to achieve a greater share of the $2 billion arrhythmia monitoring market over the next several years. With respect to product development programs, the core of our depreciation strategy is a deep focus on restructuring development and a commitment to release a new product that are in the full front of the innovation curve. In September, we launched our new atrial fibrillation recoding package providing physician’s unmatched capabilities for the diagnosis, treatment, and management of their AF patient. As many of you know, AF is the most wide-spread cardiac rhythm disorder in the world affecting approximately 1% of the general population. The reporting enhancement provides a detailed AF statistics including the duration of AF episode, the percent of time that the patient is in AF over a 24-hour period and heart rate trends while the patient is in AF. The package also allows us to expand our addressable markets into the first surgical follow-up of AF patients. The program provides physicians with an official and flexible monitoring program to evaluate the clinical efficacy of catheter and surgical ablation procedures allowing improved management of this post surgical patient. We believe the capabilities offered by our AF package are by far the most advanced on the market and further strengthen our established competitive differentiation. For the clinical study side, the body of clinical evidence that supports the use of our superior technology continues to build beyond our landmark 300 patients randomized clinical trial. A recent study at the Allegheny General Hospital was published in the issue of Neurology [ph] titled “Atrial fibrillation and detected by mobile cardiac out-patient telemetry in stroke.” Another study was recently conducted by Dr. James Garry [ph] at the University of Netherlands, titled “Surgical Correction of Atrial Fibrillation with the CryoMaze procedure. Long-term outcomes assessed which continued outpatient telemetry.” As we move into 2009 in our next stage of growth, we continued to strengthen and improve our internal operation. CardioNet employees are extremely passionate about the growth of our business and strive to continue to raise the bar in terms of their contribution to this growth. We have established a program called the BEAT Excellence Initiative focusing on achieving operation excellence across all functional business area. Combined with other infrastructure upgrades, we believe we are well prepared for the robust long-term growth and market share expansion that we expect. And finally, it is worth mentioning that in October, CardioNet was awarded the 2008 Frost & Sullivan North American Competitive Strategy Leadership Award presented to the company with competitive strategy has yielded significant gains in market share through the introduction of innovative technology. We would like to thank Frost & Sullivan for this recognition. I will now turn the call to Marty Galvan who will review our financial results. Martin?
Marty Galvan: Thank you Arie and good afternoon everyone. Now that Arie has provided you with an update of our operations, I will review our third quarter and year-to-date 2008 financial results and the factors that contributed to these results. I want to remind everyone that unless mentioned otherwise, all of my comments were referred to financial results on a non-GAAP basis. There is a reconciliation included in the press release that we issued earlier today that describes in detail how we have calculated these non-GAAP figures. In the third quarter, revenue increased by 52.1% or $31.2 million compared to $20.5 million in the third quarter of 2007. Driving the growth were CardioNet system sales of $26.3 million, up from $15.2 million in quarter three of 2007, or an increase of 72.9%. This increase was offset by decreases in events and Holter revenue. CardioNet system revenue in the third quarter accounted for 84% of our revenue compared to 83% in the second quarter of 2008 and 74% of revenue in the third quarter of last year. For the year-to-date comparison, if you adjust the prior year as if the PDSHeart acquisition was completed as of January 1, 2007, revenue increased by 62% to $86.0 million. During the same period CardioNet System revenues was $70.7 million compared to $36.2 million in the same period last year, an increase of 95.4%. For the first nine month s of 2008, the CardioNet system was 82% of revenue compared to 68% of adjusted revenue for the same period last year. With respect to payer mix, consistent with our first half performance our business was 33% Medicare and 67% commercial end of the quarter. Gross profit in the third quarter increased to $21.2 million or 67.9% of revenue compared to gross profit of $13.4 million or 65.4% for revenue in the third quarter of 2007. This gross profit improvement of 250 basis points was due to operational efficiencies primarily in our cardiac monitoring system center and related area. Cost reductions, negotiated with some of our larger suppliers and the fact that in the quarter, many of our C2 devices in the field became fully depreciated. As we continued to roll out our C3 devices, we expect that by early next year, the depreciation expense will offset some of these savings as most of the fully depreciated C2 (inaudible). For the fist nine months of 2008, gross profit increased to $56.7 million or 65.9% of revenue compared to gross profit of 65.7% of revenue for the same period last year. If you adjust the prior year to include PDSHeart as if the acquisition occurred on January 1, 2007. The gross profit for the first nine months of 2007 would have been 65.2 of revenue. The resulting 70 basis points of improvement are driven by the favorable results in the third quarter. With respect to gross profit for the remainder of the year, we expect fourth quarter to be similar to the third quarter as a percent of revenue. Operating expenses has increased year-over-year as we continued to expand our sales and marketing efforts, invest on our infrastructure and strengthen our management team. However, on an adjusted basis our operating expenses continued to decline as a percent of revenue compared to the prior year as we continue to gain leverage and achieve the efficiencies. Included in our third quarter, GAAP operating expenses is $2.9 million of one-time charges. As discussed during our second quarter call, $900,000 is related to our secondary offering, while an additional $1.1 million is related to previously announced departures from our board of directors. The remainder is related to our ongoing restructuring of our San Diego operations, and the final charge is related to the integration of PDSHeart. At this time, we expect the fourth quarter charge for San Diego restructuring to be approximately $200,000 and this should be the last of the charges for this restructuring. Turning to operating income. In the third quarter, we achieved our fifth consecutive quarter of profitability with $4.3 million in adjusted operating income. This compares favorably to the $1.5 million in operating income in the third quarter of 2007, and the $3.1 million operating income in the second quarter of 2008. As a percent of revenue, our operating margin in the third quarter of 2008 increased to 13.7%, compared to 7.5% in the third quarter of 2007, an improvement of 620 basis points. For the first nine months of the year, adjusted operating income increased to $8.1 million or 9.4% of revenue, compared to a loss of $1.7 million in the same period last year. Our operating income continues to improve due to our higher revenue in 2008 and the operational efficiencies we are achieving. Our effective tax rate for the quarter was 43.8%. The 43.8% rate assumes no utilization of the $62 million in federal operating loss carry forwards that we had as of year-end 2007 because we are continuing the process of determining the timing and manner in which we can utilize such carry forwards. We do expect to be able to true up the tax rate in the fourth quarter as appropriate. This is explained more fully in our second quarter 10-Q and the income tax note to the financial statements, as well as in the MD&A. Adjusted net income in the third quarter increased to $2.6 million or $0.11 per diluted share, compared to adjusted net income of $1.8 million in 2007 or $0.11 per diluted share. Despite the significant improvement in adjusted net income, EPS is unchanged due to much lower share count in 2007. Adjusted net income for the first nine months increased significantly to $5 million or $0.23 per diluted share, compared to an adjusted net loss of $2.5 million or a loss of $0.82 per diluted share for the same period last year. With respect to share count, it’s important to note two share count balances for purposes of calculating EPS. The adjusted EPS of $0.11 per diluted share for the third quarter of 2007 was calculated using a share count of 16.8 million shares. The adjusted EPS of $0.23 per diluted share for the first nine months of this year was calculated using a share count of 22.2 million shares. These are the diluted weighted average shares outstanding for the periods indicated. This is opposed to the 3.1 million shares of the third quarter of 2007 and the 16.6 million shares for the first nine months of 2008 that you see in our earnings release. The reason for the differences is because on a GAAP basis, we incurred a net loss for these periods and as such, we are required to use the basic share count as reported for both basic and diluted EPS. Using the higher diluted share count would’ve had an anti-dilutive impact on EPS; but because on an adjusted basis these two periods had positive adjusted results, we are providing the respective diluted share counts here. Now to turn it briefly on the balance sheet and cash flow. At the end of the quarter, cash and cash equivalents were $56.3 million and debt was negligible. Operating cash flow for the quarter was $3.4 million; capital spending was $3.1 million; and free cash flow was $300,000. The capital spending was almost entirely on monitoring devices. Accounts receivable were $35.9 million as compared to $29.3 million at the end of quarter two, with DSO increasing to 94 days. As mentioned in our earnings release, while our third quarter operating results were not impacted by the fire, it did divert internal resources including collectors in patient care to ensure there was no interruption in service. As a result, our cash collections were negatively impacted as evidenced in our increased DSO. If not for the fire, we believe that our DSO for the quarter would have been 84.9 days, compared to 84.5 days at the end of Q2. We’re already seeing a catch-up in our collections as our operations have returned to normal and we expect to fully recover our cash collections by year-end. Turning to our expectations for 2008. We previously announced a revenue target of $117 million to $120 million for this year. As we stated in our press release, we continue to be comfortable with the high end of that range. With respect to the future, we expect to continue to invest in our infrastructure and to continue pursuing strategic initiatives to position the company for 2009 and beyond. Thank you. I will now turn the call back to Arie for some closing comments.
Arie Cohen: Thank you, Marty. In closing, this was a milestone quarter for CardioNet. The recently established Category I National CPT Codes and the CMS pricing published this afternoon will positively impact a number of important components of our business and significantly enhance our ability to accelerate market penetration of the CardioNet System. With only 6% penetration of the $2 billion market, cardiac arrhythmia monitoring market, we see huge growth opportunities for the company. Our growing sales force continues to penetrate the market with our superior technology that was clinically proven to be three times higher in diagnostic yields than events monitor. Looking longer-term, we also see large and unique opportunities for CardioNet to leverage our leading wireless medicine platform for new applications in multiple markets. Our employees share a deep commitment to grow and improve human life and most importantly, build value for our old shareholders. Thank you. And now, we would like to open the call to your questions.
Operator: (Operator instructions) Your first question comes from the line of Amit Bhalla with Citigroup. Please proceed.
Amit Bhalla – Citigroup: Hi, good evening. Well, I guess you guys had a World Series win and a reimbursement rate in your favor, so not bad. Can you guys hear me all right?
Arie Cohen: Yes, absolutely, Amit.
Amit Bhalla – Citigroup: Given that CMS has not posted the rate yet or put out a press release, can you give us a little bit more color on the – maybe, some more specifics between the professional fee or professional rate, as well as the technical rate? And then I got a couple other questions.
Randy Thurman: I appreciate it, Amit, but I’m sure you’re going to appreciate the fact that we just got this breaking news while we were on the call. And in my understanding, it was really published online. We’re waiting for that but it was published online while actually we initiated the call. So tomorrow, we plan to publish a press release with more additional details and I’m sure that Marty will be in better position to give, talk to you with the details.
Amit Bhalla – Citigroup: Okay, so it’s your understanding that the rate, at least, on the technical fee side is unchanged then. Is that what you’re saying? But you – but professional, we don’t know yet?
Randy Thurman: Yes. I mean, I just mean that the time to analyze what that is but I’m confident that on the technical side is the carrier price, which is $11.23 and as you know, we have this relationship with Highmark for a long time, and as you recall in the number of discussions that we had, all along I was saying that positively, that we feel that the pricing will be at the same level it is today, so for us it’s really a World Series event.
Amit Bhalla – Citigroup: Okay, I understood. Now, Marty, before he finished his remarks, stressed that you’re going to continue to invest in infrastructure, can you give us a little bit more color around that maybe talk about your SG&A spending, and maybe some targets for sales reps because I don’t recall you guys stressing that infrastructure spend as much in the past?
Arie Cohen: Yes. Let me give me a little bit of color on that. If Marty wants to jump in after that please. We talk about the infrastructure, obviously – let’s start with the facility. We are investing and growing in the facility, improving the work environment but really expanding to – if you recall, we are the first floor. We’re really taking over the second floor so we are expanding. We are actually in the field area. We are expanding. As I mentioned, we have 89 people on board so it’s 89 territories. Definitely we are in the hiring mode and we would like to expand the sales force really quite a bit, to really prepare for 2009 growth that we project. Are there areas to that we invest? We invest in training. The BEAT Excellence Program that we talked about is really getting to every area of the business and we are just challenging everybody. It’s really just to – the objective to get to world class operation across the board. IT is extremely an important component of that. Automation in every direction is critical to that and just to give you a little bit more color really on the sales force. We anticipate that from 89 today we will go to 104 by the beginning of January so that’s literally adding 50 more sales rep in the next two months and probably – probably, again, we need some more evaluation but probably it would be at the 120 some time in the second quarter of next year. Tremendous investment in the infrastructure sales force is going forward.
Amit Bhalla – Citigroup: So how does this translate to the bottom line for 2008? I realized you haven’t given ’09 guidance.
Arie Cohen: It doesn’t have any impact on the 2008 borderline. We are on target to meet the numbers so it doesn’t have any impact on 2008.
Marty Galvan: And I’ll just add one thing. I think it’s fair to say that if – you have few comment about emphasizing at this time. I think we basically have explained it in our plans about investing pretty similar to how we’ve always done it in the past so I think we’re particularly stressed at this time versus others.
Amit Bhalla – Citigroup: Okay. Can you just break up gross margin – just talk to us about gross margin between the CardioNet system and the PDS legacy business and I will hop back in queue. Thank you.
Marty Galvan: Well, three times we’ve discussed this, the CardioNet system and the gross margin for that part of our business is in the high 60s. The gross margin on the other hand with our present Holter business is roughly about 10% points less in the high 50s. There is a significant mix aspect as the company grows now to be more mixed ever so much moves more to the CardioNet system it just helps to push our gross margins higher.
Amit Bhalla – Citigroup: Okay, thank you.
Marty Galvan: You’re welcome.
Arie Cohen: Thank you.
Operator: Your next question comes from the line of Bob Hopkins with Banc of America. Please proceed.
Bob Hopkins – Banc of America: All right, thanks very much. Can you hear me okay?
Arie Cohen: Hi, Bob. How are you?
Bob Hopkins – Banc of America: Great. Thank you. Two questions, just a little bit more specific questions. Marty, on the last call, you guys expressed comfort with the 2008 consensus which at that point was arranged at $0.38 to $0.42 so is the message here this afternoon that you remain confident – remain confident in that range?
Marty Galvan: I would say yes. I think that’s a fair statement.
Bob Hopkins – Banc of America: Okay. And then, I just want to ask you a question about a philosophical question about 2009, because if you look at the consensus expectations that are out there, you’ve got some of us, like myself, they’re close to the $0.80 for next year and you’ve got others suggest that you own investors much, and therefore, they’re up around the dollar and that’s a huge range of consensus for 2009. I just – I’ve been an advocate of further investment and trying to seize this opportunity and spending a little bit of money in them. I’m just wondering sort of philosophically at this point, which end of the spectrum do you guys stand on?
Arie Cohen: Well, first of all, Bob, in terms of 2009, we are obviously looking at this opportunity to increase and accelerate the growth especially now with the CPT codes in place. It would really give us tremendous opportunity and so that’s the process we’re going to the next two months in full force, but we definitely feel confident that in terms of the top-line we can achieve that. In terms of guidance, we are going to provide guidance in the February earnings call. Now, we definitely will give the top line guidance. I’m not sure if we are going to do anything on the EPS. This is something we haven’t decided yet. We really need to – we are in the process of evaluating that. So is that answer questionable?
Bob Hopkins – Banc of America: Sort of. I mean, I guess I’m just trying to understand. I mean, one of the way of phrasing the question would be you’ve got this great clinical data out there. You’ve now got a CPT code that looks very favorable. Why wouldn’t you get more aggressive in terms of spending on SG&A to try to realize and maximize this opportunity and make sure that you reach or exceed your top line growth guidance? And frankly, I don’t think the investment [ph] community would care if you’re spending a little more money as long as the top line is at or above expectations. So I’m just wondering why wouldn’t you accelerate the spending in order to capture this opportunity given that you’ve got so much tailwind in your favor right now?
Arie Cohen: I agree. I mean, that’s absolutely. This is really on top of our mind. That’s what we’re doing. We’re analyzing the situation. What is the optimal sales force? What else we need to do in every direction? But this is part of the process that we’re going in the next month and then that’s it. But we agreed the opportunity the way you described that is – makes sense period.
Bob Hopkins – Banc of America: Okay. Thanks very much.
Operator: (Operator instructions) Your next question comes from the line of Rick Weiss with Leerink Swann. Please proceed.
Rick Wise – Leerink Swann: Good afternoon everybody and congratulations on the code. Maybe starting with that Arie or Marty, you all have been very consistent saying you thought we’d come in where you were. But maybe help us understand how in practical terms this drives or accelerates the business. I mean, with this in hand, what are you going to do next in terms of conveying this information to your client that perhaps could produce some even faster growth than we’re all assuming.
Arie Cohen: As you know, Rick, the code is effective in January so we have lots of ideas actually. We have developed a plan on how to attack it, and obviously we need to broadcast that all the way down to our customers, and we want to take advantage of simplifying the whole process for us. So we have a plan that we developed internally. We definitely will communicate this to our sales forces which have been waiting for that. So we have a plan of attack here. And then effective January 1, we expect that our sales force will be on top of that. Our customers will be notified before that and we have a team actually that’s part of our billing and reimbursement team that will help any customer to switch over. So we have a very effective plan of attack here.
Rick Wise – Leerink Swann: Okay. Maybe you can help us think about gross margins for a second, Marty. You talked about the fourth quarter equaling third quarter levels. I remember seeing the restructuring continues, volumes continue to rise, you contain your focus on efficiency. Why wouldn’t – since it is a higher volume [ph] priority, why wouldn’t it be stronger? Why wouldn’t gross margins be slightly above?
Marty Galvan: Because Rick – because we think that the various elements of the benefits you’ve seen in the third quarter will be basically about the same in the fourth quarter. We don’t see it moving a more positive, let’s say, and it’s basically that.
Rick Wise – Leerink Swann: Okay. Fourth quarter tax rate, if you had – if you were at, I think, 40% net in the third quarter, can you help us true it up in the fourth quarter, Marty?
Marty Galvan: That’s a bit of a difficult call right now, Rick. It’s a – as I mentioned in my prepared script, they have an ongoing project now to determine over what period of years, literally, we can utilize the cost carry forwards that we’ve accumulated at the $62 million. So, right now, we have arranged for the folks doing that work for us. It’s being done by Ernst & Young. We have arranged that they are – assuming they get close on, but the challenge is that, one has to go back over time and reanalyze the ownership of the company. And because of the type of company and CardioNet groups, that’s a lot more difficult than it might sound on the surface. So right now, I’m not in the position to give you what the adjustment would be in the fourth quarter.
Rick Wise – Leerink Swann: Okay. How many PDS patients have you converted at this point? Am I remembering correctly, it was like something at 16% the last time we spoke?
Marty Galvan: Did we convert it, Arie?
Arie Cohen: Yes, we converted 4% for the quarter and we continued to actually – that actually has been going above what our expectation is, but – so there’s 4% per quarter.
Rick Wise – Leerink Swann: Okay. And can you just remind me that that is another part of it for gross margins, correct?
Marty Galvan: Certainly. Yes.
Rick Wise – Leerink Swann: Okay. And just the last, a general question. I struggled when I think about how the economy might affect most companies but it would seem like CardioNet should be less effective, either on the capital side, the consumption side, the prescription side. How are you all thinking about the larger backdrop with the economy and what steps, if any, are you taking as this complex environment evolves?
Marty Galvan: Really, we think that the business is very solid. It is three recessions of proof. We don’t see anything really going forward that would impact the business. When you come in, that’s the type of business this is.
Rick Wise – Leerink Swann: All right, so we should assume you’re relatively insulated?
Marty Galvan: Yes, I agree.
Rick Wise – Leerink Swann: Okay. Thank you very much.
Marty Galvan: Thank you.
Operator: And at this time, there are no further questions in queue. I would now turn the call over to Mr. Arie Cohen for any closing remarks.
Arie Cohen: So before we close out the conference call, I would like to say thanks to all of you for spending the time with us today. We appreciate your interest and your continuing support. Thank you.
Operator: Ladies and gentlemen, if you joined the conference late today, you may listen to the conference on digital replay, which will be available from October 30 to November 14, 2008, on (888) 286-8010, or (617) 801-6888 with pass code 40141982. Thank your for joining today’s conference. This concludes the presentation. You may now disconnect and have a great day.